Operator: Greetings, and welcome to the MaxLinear 2019 First Quarter Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Nugent of Investor Relations. Thank you, Mr. Nugent. You may begin.
Brian Nugent: Thank you, operator. Good afternoon, everyone, and thank you for joining us on today's conference call to discuss MaxLinear's first quarter 2019 financial results. Today's call is being hosted by Dr. Kishore Seendripu, CEO and Steve Litchfield, Chief Financial Officer and Chief Corporate Strategy Officer. After our prepared comments, we will take questions. Our comments today include forward-looking statements within the meaning of federal applicable securities laws, including statements relating to our second quarter 2019 revenue, gross margin, operating expense, tax expense, tax rate, and interest and other expense guidance, as well as statements relating to trends, opportunities, and uncertainties in various product and geographic markets, including, without limitation, statements concerning growth opportunities for our wireless, infrastructure, and connectivity markets, and improved revenues in our broadband markets. These forward-looking statements involve substantial risks and uncertainties, including risks arising from competition, our dependence on a limited number of customers, average selling price trends, risks that our markets and growth opportunities may not develop as we currently expect, and that our assumptions concerning these opportunities may prove incorrect, and numerous other risks outlined in the Risk Factors section of our recent SEC filings, including our previously filed Form 10-K for the year ended December 31, 2018, our Form 10-Q for the quarter ended March 31, 2019, which was filed today. Any forward-looking statements are made as of today, and MaxLinear has no obligation to update or revise any forward-looking statements. The first quarter 2019 earnings release is available in the Investor Relations section of our website at maxlinear.com. In addition, we report certain historical financial metrics, including net revenues, gross margins, operating expenses, income or loss from operations, income taxes, net income or loss and net income or loss per share on both GAAP and non-GAAP basis. We encourage investors to review the detailed reconciliation of our GAAP and non-GAAP presentations in the press release available on our website. We do not provide reconciliation of non-GAAP guidance for future periods, because of the inherent uncertainty associated with our ability to project certain future charges, including stock-based compensation and its associated tax effects. Non-GAAP financial measures discussed today do not replace the presentation of MaxLinear GAAP financial results. We are providing this information to enable investors to perform more meaningful comparisons of our operating results in a manner similar to management's analysis of our business. Lastly, this call is being webcast, and a replay will be available on our website for two weeks. And now, let me turn the call over to Kishore Seendripu, CEO of MaxLinear.
Kishore Seendripu: Thank you, Brian and good afternoon everyone. Thank you for joining us today. Our Q1 2019 revenue was $84.6 million consistent with our guidance and expectations of modest improvement in our Connected Home business, a seasonal slowdown in infrastructure and a macro driven overall industry weakness in industrial and multi-market . End market revenue breakout was infrastructure at 26%, industrial and multi-market at 23% and connected home at 51% of overall revenues. We had strong operating cash flows of approximately $16 million driven primarily by gross margin improvements in our high performance analog business and lowering of overall operating expenses. More importantly, we continue to execute solidly on our core 5G wireless and optical data center interconnect and power management initiatives comprising our high growth infrastructure revenues. Weakness in our connected home market is owed to technology transition challenges at our end OEM customers, the impact of US government import tariffs on our customer manufacturing supply chains and general market softness due to cable data operators spend. As such we're excited about the potential leverage in our business model enabled by the combination of improvements in our operating cost structure and continuing strong execution on our 5G wireless and optical data center network infrastructure growth initiatives. Moving on to some of the more exciting product and technology highlights in the large and attractive networking infrastructure markets, in the 5G wireless market, we have strong network equipment customer design and traction following the launch of our 40 nanometer CMOS wireless, massive-MIMO RF transceiver system-on-chip solution at Mobile World Congress in February. Additionally, in Q1 we started high volume shipments of our 10 ampere power modules to a Tier 1 5G wireless OEMs remote radio unit platform. Our industry leading 5G radio frequency transceiver product delivers the highest performance and widest bandwidth along with superior system level integration and flexibility at 50% lower power consumption than competitor solutions. We are gaining strong customer traction by enabling base station designers to accelerate the development of 5g massive-MIMO radios. We're increasingly confident of being a major player in the 5G wireless access infrastructure rollout slated for 2020. In 4G and 5G wireless backhaul adoption of our wireless backhaul RF transceiver is accelerating across our lead millimeter and microwave modem customers. It will drive new revenue streams in the second half of 2019. Our RF solution unique is a post channel aggregation which doubles data capacity in existing wireless transport spectrum. As a result, we have strong operator and OEM engagements for current 4G and future 5G deployments. With the anticipated seasonal recovery in wireless backhaul modem shipments in Q2, our wireless backhaul business remains on track for strong double digit growth in 2019. Moving to the fiber data center interconnect market, we have secured multiple customer design wins for inside the data center 400 gigabit PAM4 system-on-chip system solution. Several of these engagements were on display at the Optical Fiber Conference in March. We also achieved an important milestone in Q1 with the commencement of pilot production shipments of our PAM4 SOC. Our strong product portfolio coupled with the ongoing robust optical module vendor partnerships enables us to be a major supplier in the 400 gigabit hyper scale data center upgrade cycle starting in the latter half of this year. In power management, we recently released a dual 13 ampere power module to production which is our highest power solution thus far. It is currently being designed into multiple Tier 1 telecom optical fiber module solutions. We see strong traction for our high power modules and our high power roadmap across Enterprise Server, 5G wireless remote review units and industrial markets. Overall, we're really excited that our focus and execution is bringing us closer to realizing high growth production revenues in the large and transforming 5G wireless access and the high speed optical data center interconnect infrastructure markets. In the connected home market while we wait for it to strengthen cable data, we have several large design partnership in advance stages of deploying our next generation, MoCA and G.hn multi gigabit wired connectivity technologies into telco operator and industrial IoT applications. This should lead to improvement in our connectivity business throughout the year. On the G.hn power line connectivity front our enhanced Wave-2 software rollout is accelerating the displacement of legacy power line; home plugged based solutions and also enabling new industrial IoT applications. We hope to provide further details on these engagements in the next couple of quarters. With that, let me turn the call over to Mr. Steve Litchfield, our Chief Financial Officer and Chief Corporate Strategy Officer for a review of the Q1 business results and our forward guidance.
Steve Litchfield: Thank you, Kishore. I'll first review our Q1 2019 results and then further discuss our outlook for Q2 2019. On revenue of 84.6 million we saw connected home increase 1% driven by double digit improvement in both our cable revenues and an uptick in both satellite and G.hn demand offset by the expected declines in our tuner and MoCA categories. Our infrastructure business was down 3% sequentially due to a pause at one of our large backhaul customers, but our optical interconnect and HPA categories were up solidly quarter-over-quarter. On the industrial multi-market side sales were down 12% sequentially due to macro pressure across our distributor channel with some influence from continued trade tensions consistent with the commentary from several of our analog peers in this space. GAAP and non-GAAP gross margins for the fourth quarter were approximately 53.3% and 63.5% of revenue respectively. This compares to GAAP to gross margin guidance of 52.5% to 53.5% and non-GAAP gross margin guidance of 63% to 64%. The delta between GAAP and non-GAAP gross margins in the first quarter reflects the amortization of 8.4 million of purchase intangible assets from previous acquisitions and 0.2 million of stock based compensation and stock based bonus accruals. First Quarter GAAP operating expenses were approximately 52.9 million, which is below our GAAP guidance of 56.0 million to 56.5 million and due to lower than expected restructuring costs related to our cost reduction initiatives. GAAP operating expenses included amortization of purchasing tangible assets of 5.8 million, stock based compensation and accruals related to stock based bonus plan of 7.6 million and 1.9 million respectively, and 1.9 million in restructuring. Non-GAAP operating expenses were 35.7 million, which was down 1 million sequentially, and below our non-GAAP guidance of 36 million to 36.5 million due to disciplined expense management. We've continued to diligently work on moderating the spend during this transitional period with good success. We achieved a quarter-over-quarter decline despite a seasonal step up in payroll taxes and we expect our quarterly spend to continue to come down through this year as we tighten the spend and larger development efforts slow in the second half of the year. Moving to the balance sheet and cash flow statement, our cash flow generated from operating activities in the first quarter of 2019 was approximately 16 million versus 24.2 million generated in the fourth quarter of 2019. We made 15 million in debt prepayments during the quarter toward our term loan, as we continue to focus on debt pay down with our cash generation. In addition, we recently made another $15 million debt prepayment during Q2. This brings the total debt prepayments to 193 million and our loan balance down to 232 million. Our day sales outstanding for the first quarter was approximately 64 days, which was slightly above the prior quarter day sales outstanding of 62 days. Our inventory turns decreased slightly to 3.7 compared to 4.0 in the fourth quarter. That leads me to our guidance. We currently expect revenue in the second quarter of 2019 to be approximately 83 million to 88 million, up 1% sequentially at the midpoint of the guidance range. We expect connected home revenues to be down mid-single digits sequentially with improvements in connectivity revenues offset by declines in cable data shipments owing to continued end market weakness and choppiness in the DOCSIS 3.0 to 3.1 transition. Within industrial and multi -market we have seen improvements in our distributor sell through patterns and expect sequential improvements from a couple of key accounts, yielding expected double digit revenue growth. We expect low single digit infrastructure growth primarily driven by resumption and wireless backhaul demand and incremental share gain. We expect second quarter GAAP gross profit margin to be approximately 53% to 54% of revenue and non-GAAP gross profit margin to be approximately 63.5% to 64.5% of revenue, up sequentially due to improved mix. As a reminder, our gross profit margin percentage forecast could vary plus or minus 2% depending on product mix and other factors. Even as we are focused on reducing our run rate spend levels. We continue to fund strategic development programs targeted at delivering strong top line growth in 2019 and beyond, with particular focus on infrastructure initiatives and our stated goal of increasing the operating leverage in the business. As such, we expect Q2, 2019 GAAP operating expenses to decrease approximately 3.7 million quarter-on-quarter to a range of 49 million to 49.5 million, driven by reductions and restructuring mask and payroll related expenses. We expect Q2, 2019 non-GAAP operating expenses to be down approximately 2.5 million to a range of 33 million to 33.5 million. We expect GAAP tax expense to be approximately 0.5 million and a non-GAAP tax rate of 7%. We expect interest and other expenses in the quarter to be 3 million to 3.1 million. In closing, we are pleased to report progress in our infrastructure initiatives highlighted by our expanding design engagements 400 gig data center market, engineering milestones in our 5G massive-MIMO transceiver platform and expansion of our infrastructure of power transmission portfolio. As we navigate through a transitional period of demand weakness in connected home environment, we continue to maintain strong profitability and cash flow generation, while maintaining our pace of strategic investments. These infrastructure investments and strong execution combined with an upcoming upgrade cycle in the data center and wireless markets position as well to deliver strong leverage in our business as many of the new product initiatives start to generate revenue in the second half of 2019 and into 2020. With that, I'd like to open up the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Quinn Bolton with Needham & Company. Please proceed with your question.
Quinn Bolton: Hey guys, a few questions. First, congrats on the nice OpEx reductions. Looking forward to kind of year end, are you still targeting something in the sort of $32 million to $33 million range Steve, or do you think it can get even lower than that?
Steve Litchfield: I guess I don't - maybe I don't want to go into that level of specificity. I think, look, we got some good progress. You can see from our guidance that we're looking forward to a nice decline in Q2. Q3, we've got some one of the things, we've got some legal expenses that may fall into that one, so we don't see an exact linear decline, but I think for the year we're on track to see a nice improvement.
Quinn Bolton: Okay, great. And then sort of on the product front, did I hear you guys in the script talk about a PA product for wireless infrastructure?
Kishore Seendripu: Hi, Quinn, this is Kishore. That's not a PA product. It's a high power module. So there's a Tier 1 OEM customer for wireless, the 5G wireless deployments that are being rolled out right now. And we have a design win towards which we are shipping. High volume shipment started for these 10 ampere power module, they use multiple 10 ampere power modules in each remote radio unit. And so this sort of validates our thesis that coupling our radio transceivers with the power management devices over the long-term is a huge winning proposition for us. At this point, our shipments in 5G is primarily a power module. Our hope and expectation is that over the course of the roadmap evolution in our 5G product portfolio, we will expand our warm footprint include as much of the analog mix signal content as possible.
Quinn Bolton: Okay, so that's power module from that sort of Exar acquisition. Moving to the cellular transceiver outlook, can you give us sort of an update on just - your transceiver and that the design efforts, it looks like at least a couple of your - the big base station OEMs may be undergoing changes in their sort of ASIC design group or ASIC partnerships. Obviously, so your transceiver, I would think would marry up pretty close with some of those ASIC and so take that ASIC are changing. How does that impact the outlook for your business? Do you think you can still ramp that product sort of second half of 2020?
Kishore Seendripu: So Quinn, very, very good question, the real landscape on 5G, the initial deployments people you hear in earnings calls and so on for the company's is privately FPGA based design and very, very cost ineffective. So many of these serial operators now are doing their own custom digital ACIC product and some semi-custom product platform for the real 5G rollout that is expected to happen in 2020, latter part of 2020. So and really our chip has been designed to meet these new generation of chips that are coming from the major vendors. So, we feel we're in a very, very, good position, the timing is excellent and really having the best product in the market, the smallest technology knowing 40 nanometers CMOS compared to anybody out there, and the levels of integration. We are actually feeling very, very gung ho about our positioning on the 5G wireless space right now. So I think the very thing it's really - the moment it comes in our direction with the way our chip has been designed and to ideally meet with the OEMs owned DFT ASICs if you will.
Quinn Bolton: Got it, great, thank you.
Operator: Our next question comes from the line of Christopher Rolland with Susquehanna International. Please proceed with your question.
Christopher Rolland: Hey guys, thanks for the question. So between call it PAM4, the cable fiber node, some of these 5G products including power management and transceiver backhaul. What are you most excited about here? And what do you think is going to have the most revenue call it three years from now?
Kishore Seendripu: Chris, this is Kishore. Obviously, we've to be excited by was generating revenues today, right. And it's growing very, very strongly with the wireless backhaul, notice board, millimeter wave and microwave paired with their RF transceiver and it's a full system solution. We are the only vendor in the world that has everything on the platform right. So I'm really excited about that and I think we are in what I call the pole position to evolve that market in the way it needs to evolve for several years to come. So that's a very exciting strategic positioning for us. And of course, we're going to couple now power management onto that platform. Obviously, I would be disingenuous if I didn't say that 5G is really, really the most exciting market they will look three years out from now because on the competitive landscape, we are in a very, very strong position. And it's really a very, very high performance market where your technology has been brought in full force. So I'm very excited because the TAM is incredibly large, very concentrated OEM customer base, and also the competitive landscape is very, very thin down right. So it's very good for us and we're the premier CMOS mix signal player on the transceiver technology in the competitive landscape and the you already heard about a power management on that, there's more power that's going to be on those active engineer system than ever they evolves. And so that's a huge multiplier as well. And then if you come to the optical leaders in the space, I think it's the competitive landscape is thinning down. But the deployment rate of takeoff is nowhere going to be as spontaneous as it's going to be in wireless when it happens. So, I would say the next most exciting market is optical fiber data center interconnect market. Having said that, I do want to point out that we got great design interaction with the various optical module vendors that are all competing for a position in a major hyper scale data center customer who is doing interoperability tests and - initial interoperability tests between the various module vendors in plan for a rollout at the end of this year, so I think those tests are going incredibly well. When I spoke of pilot shipment, obviously it's your module vendor, so until that gets a green signal from the hyper scale data center, we don't expect massive production ramps yet. However, we feel that towards the end of the year that should start happening. So I think they're all exciting. For me the bigger excitement is that power management coupled with all these platforms is going to be a TAM or a SAM expansion that is much bigger than what we had thought originally. Takes time, but it nevertheless panning out pretty nicely.
Christopher Rolland: Okay, congrats on the power management win, but maybe you can talk about engagements for your transceiver products and some of the other 5G products with the major OEM. So out of the five large guys, do you have any confirmed wins for products outside of power management? Or how would you say kind of that design process is going with them? Are you close? Do you think you're ultimately going to nail one or two before the end of the year? And how does that ramp? Thanks.
Kishore Seendripu: So I don't know if there are five large OEM guys, I would say four would be a generous statement. So let's assume four of the top four players, the fifth one gets a little bit more efficient because they're early in a very small geography. So I would say they're four top players, and we got strong engagements with all of them. And obviously, MaxLinear's R&D development philosophy is absolutely predicated on never starting something as intensive in technology investments without at least two lead customers signed up to be in a joint development with us. So I think that would answer your question, are we going to get nailed two of those right? But the market is so thin down on supplier basis who can offer the kind of technology that this one requires that we're getting natural traction with the remaining two as well. So I feel that all - the timing of each one's ramps will be different based on the platforms timings, but I think we should have all of them. When I say that it is very rare for me to get ahead of myself, but I think we feeling very good about where we are.
Christopher Rolland: Thanks so much Kishore.
Operator: Our next question comes from the line of Tore Svanberg from Stifel. Please proceed with your question.
Tore Svanberg: Yes, thank you. A few questions and let me start with connected home. So it seemed that that business was sort of steadily recovering from a low and now it seems like maybe it's going to revert back a little bit. Can you just update us on what's going on and especially when thinking about some of these supply challenges that some of your customers have?
Kishore Seendripu: Tore, that's a very, very good point. I think right now, it's sort of a - please there's some fluctuation noise around the lows we talked about in the previous quarter. So we are actually waiting for return for strength and the primary source of this weakness is really a reordering of their supply chain manufacturing process within a large end customer of ours, right. And then there's also macro weakness because a lot of these operators were a Liberty Global or Comcast, they've acquired new assets, they spent a lot of cash and at the same time some of them are baking up their assets like Liberty Global. So that's also created some weakness and softness in their spend patterns. So all in all, I think it's a week environment in terms of what we are seeing, but we do expect return of strength as we head into the second half of this year. So I don't - nothing has changed in the narrative there other than the fact that we thought this quarter would be stronger than it is. But it's exactly the same reasons that we'd given before. Nothing has changed on that.
Tore Svanberg: Very good and on infrastructure, I think in the past you talked about growing that segment 20% this year. Given what's happening both on wireless as well as on a data center are you still on track for growing 20%?
Kishore Seendripu: I think we are on track and we should pick up more speed. This is how I look at it with the factors that you mentioned, right, the wireless and optical data center and that yet to happen really on the RF transceiver for 5G wireless access, the designing process and the ramps of optical data center is much closer the 400 gigabit. So I think the next 12 months that should accelerate in terms of the growth beyond the double digit, sort of low double digit rates that we assume right now.
Tore Svanberg: Very good, just one last question on power, to me that's kind of the surprise of today's call, I mean, how extensive is this attached business is going to be for you. I mean, is this something that could be quite material already in 2020? Or will it kind of start slow? And then kind of just grow more steady from there?
Kishore Seendripu: I think - let me explain what's that. We have launched a lot of our products which we don't speak about in the earnings calls much because the categorization of our products is along at the end markets, right, infrastructure, connected home, industrial multi-market, so a lot of the story is lost in the way we describe in our earnings call. But having said that, we launch a number of our products and there is a major roadmap that has been developed both for the wireless market as well as the server market. And those products will be announced by the end of the year. That will set a new benchmark in integration and telemetry and also efficiency. It's a totally radically transformed, so we feel that the attached program for the new products that will happen - that we're designing with the main chips will be little slow in the beginning, but that will pick up steam in the next 18 months or so. Having said that, actually, the power product portfolio and revenues actually been growing quite steadily, ever since last 12 months or so and we expect that to accelerate quite a bit on a standalone basis over the next 12 months.
Tore Svanberg: Very good, thank you very much.
Operator: Our next question comes from line of Bill Peterson with JPMorgan. Please proceed with your question.
Bill Peterson: Yeah, I want to come back to the connected home. Thanks for let me ask a question. I guess with your largest customer now being acquired and you talked in the prepared remarks in the press release about the tariff arena and when should we think I guess first of all, the tariff related supply chain issues should be resolved. Is it maybe a second half thing and your confidence in that and just want surety on do you have any engagements with the customer, anything changed since the acquisition?
Kishore Seendripu: So obviously, it's our largest customer at least looking last trailing 12 months. We are constantly engaged with them that we have two senior sales directors spending full time job working with them. So we have a lot of customer input, but the acquisition is now complete. Having said that they are still resolving their manufacturing supply chain locations, so should recover based on that that ordering pattern should also return to some more normalcy, but there's more dynamics than just the manufacturing related issues right and the manufacturing issues are consequence of the territory uncertainty right, due to regulations. However, there's also weakness beyond that that operators are not ordering as much as well, but for us right now it is this uncertainty in the ordering patterns of our largest customers is where we are seeing weakness, so we expect it to return to some strength in the second half of 2019. So those are two different issues, but current issues are related to our biggest customer.
Bill Peterson: Okay, thanks for that color. Coming to the optical business, you announced a few I guess design wins and traction in that space. I wonder if you could speak to the depth and breadth of your design wins and your pipeline as we look to the back of the yard and I guess first off are you still on track for a single digit millions this year? And then I guess can you let us focus on where you now see the market opportunity this year, but more importantly, the market opportunity for next year.
Kishore Seendripu: So obviously, we are on track on our design win and designing activities, but the rollout from the - that will happen or mass ramp on the - hyper scale data center is going slower than what they had earlier anticipated. So we think we have forecasted this correctly in the expectation of the timing. So we are still not worried about it. So regarding the - so putting differently, our forecasting process and the single digit millions of revenues you talked, I think that should happen, it's in the ballpark, nothing has changed on that story. Next, I would like to answer your depth and breadth of the portfolio. Look, this is our first entry into the data center market. So clearly on the breath basis, we won't have the hundred gig NRZ and the 200 gig PAM4, we are directly entering the market with the 400 gig PAM4, so it's our first entry in the market. And we feel very - our engineering team should feel really proud that they have executed from a zero position into this market to be one of the leading players here if not the top one, top two for sure. And so by the depth of the portfolio is really indicative of the fact that we are the only one with the full or system solution offering of the 400 gig PAM4 DSP SOC with integrated laser drivers, the only silicon integrated laser drivers with 400 gig PAM4 SOC plus a core TIA system solution we're the only one. Secondly, we also have 100 gig PAM4 offering for the breakout version and for other pure 100 gig PAM4 single lane fiber solution. And so that's completely fulfills the portfolio, you need to play in the 400 gig PAM4 space, 100 gigabit single lane fiber space. So obviously, there's a next generation of product that will be in a newer technology node that is going to support 800 gig solutions and we're well positioned to be a significant player in that too. So obviously, we are in this market to win and succeed and be present in a long-term in enterprise praise in a larger way. So I think those two are very, very secure. Regarding the revenues that you talk about for the next year, what does it look like? Really, I think it comes in a layered manner. First, there's this big hyper scale data center customer, then towards the second half of next year, there'll be one more they'll come online and then from then onwards, it spreads to the rest of them. And obviously, while that happens, then you have the 800 gig PAM4 sampling in the marketplace at the end of next year and there's going to be more dynamics there. So all in all, it's all going very, very well, little bit slower than what would constitute an upside; however, on a baseline basis we're in good shape.
Bill Peterson: Okay, thanks for that. Maybe one more I guess, wireless backhaul has been kind of the near term driver. A lot of this 4G, I guess if we think about 5G when you have the full suite modems transceivers, what would you say the like for like content uplift is for your backhaul business?
Kishore Seendripu: So, look, you want to think about the 4G and 5G differences in two ways. One is that 5G is about data capacity increasing multiple fold and then the same time the frequency space moving to much higher frequencies right. So we have the millimeter wave modems that will probably - the mix will change from microwave to millimeter wave modems, and then you'll have the enhancement that comes with the radio transceivers. So I think that the content itself - the ASP should increase, maybe as much as 50% to 60% of the content bound dollars that we can accumulate once the market moves over to 5G. So obviously we also will have to do new products that enhance the offering that we have. And so that all goes in play, but in general, I would expect the market stand for us because of ASP primarily to approximately double in dollar content for us.
Bill Peterson: Okay, great. Thanks for that color. Appreciate it.
Operator: Our next question comes from the line of Alessandra Vecchi with William Blair. Please proceed with your question.
Alessandra Vecchi: Hi, guys, thanks for the question. Just on the gross margin front, obviously, Q2 gross margins are coming in a little bit better than I think we analysts had modeled. On the last earnings call you sort of talked about as some of the higher gross margin infrastructure products start to ramp up that we should expect sequential increases in the back half. Given sort of the mix on the cable data and infrastructure view today, do you still think margins can go up in the back half? Or how do we think about the long-term gross margin target from here?
Steve Litchfield: Hey, Alessa, this is Steve, I think you're right. I mean, this is definitely a little bit ahead of our plan for Q2, I think especially kind of given the mix, right. I mean, with connected home coming down slightly in Q2, we were able to work pretty hard. I mean, a lot of this kind of reflects on the work that we've done on the HPA side as well as reducing the cost structure. And then there's, some mix even within that HPA business and so comes through strong in Q2. I think we're still ahead of plan for the back half of the year. I think it picks up really heavily in Q4. Q3 I mean, I think hard to tell right now, right, I still think we've got some - we got to work through a couple of quarters of the connected home business right and that that is reflective of the mix. But I think we're very much on track to see this gross margin continue to move higher throughout '19 and into 2020 as well.
Alessandra Vecchi: Great, that's it for me. Actually one more, on the debt repayment side, similar, you're sort of targeting 80 million for the year on an annual basis.
Steve Litchfield: Yeah, so we had talked about that 80 million, we'd said that it is a little back and loaded, right, just kind of given the revenue fed. I mean, we, we continue to get the leverage down and so we've been pleased with the cash performance and even in Q1 on the lowered revenue number. I think we've done pretty well on the cash side.
Alessandra Vecchi: Okay. Now, that's it for me. Thank you very much.
Steve Litchfield: Okay, thanks.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank. Please proceed with your question.
Darrell Gustafson: Hi, this is Darrell on behalf of Ross. Thanks for letting us ask a question. It's nice to see the OpEx guidance, continued downward trajectory and by our math, it's probably almost 15% lower than it was in early 2018, so a pretty significant reduction there. I guess my question is one, where does the OpEx kind of bottom out? And two, I think at what point do you think that the run rate OpEx kind of precludes you potentially from making adequate investments to grow the top line?
Kishore Seendripu: So obviously, we wouldn't - we're not putting anything at risk as far as the upside in revenues, developing new products to that pipeline. It's just to some degree happened this year, we've got several of the bigger programs that we're rolling off. Now, that'll pick back up in early 2020. In fact, we've got some math; we have some early efforts that are even going on right now, where we see Q1 of 2020 that will go up a bit. So I would definitely keep that in mind. So in some respects, you'll kind of see that decline to some degree end in Q4, we've been pretty consistent and the messaging around that that it comes down throughout this year and then starts to increase in 2020. Now as you look on in 2020 on a year-over-year basis, I wouldn't expect any huge increases because, frankly because 2019 was very front end loaded. So I don't think we're giving up anything from a development standpoint, we're investing, very excited about the future and as these revenues ramp you also will have the ability to invest more going forward.
Darrell Gustafson: Awesome, I appreciate that and just another quick one on 5G. So earlier you talked about that maybe there'd be 50% more content ASP, I guess if you're just thinking a few years out as 5G kind of hits its potential peak investment cycle. What could you see your percent of revenues hit in terms of 5G content and was that driven by ASPs market share gain, et cetera? How would you break that down?
Kishore Seendripu: Obviously, if you really look at the amount of revenues we have in 5G right now. It's defined as 5G is little or nothing right. The only revenues we cover in 5G is the backhaul deployments that are used dual purpose for both 4G and 5G. But I had laid out this story before somewhere between '22 to 2025, our infrastructure revenues will overtake our non-infrastructure revenues. And it said that company's growth profile would be such that we will be somewhere between $600 million to $800 million in that time window for our revenue and almost all the growth really driver in infrastructure based products. So we expect that 5G and data center interconnect and power management for infrastructure together to constitute some variability, around $300 billion sort of revenues in the timeframe. So substantial growth obviously, timing is very hard to bracket, but we see pretty strong revenue growth in 5G, followed by optical data center fiber interconnect, then power management being a part of it, and then we're going to see growth at that point in the connected home as well. So I think if you really look at it why are we in this situation where growth has been sort of, you know, hard to come and coming in many different smaller products is because we made a decision, we made a pivot three years ago that we're going to invest in really, really large TAM infrastructure type product with long and large investment cycles and investments, but we're going to enjoy the revenues that will last a long-term, high quality revenues. So as a result, we just have to get through this to get there and we're almost there. Things are tailing off is reflected in the OpEx and we should be very, very well positioned to have a long-term play in those markets.
Darrell Gustafson: Thank you so much.
Operator: Our next question comes from the line of Gary Mobley with Wells Fargo securities. Please proceed with your question.
Gary Mobley: Hey, guys, thanks for taking the question and Kishore, glad to have you back on the call. I'll start with a question about the industrial multi-market, I guess as per your guidance commentary the industrial multi-market is poised to bounce back to the $19 million revenue mark in the June quarter. Still off the pace from 2018. So do you think you're close to shipping the end market demand with inventories being cleared? Or do we still have some tailwind as we still get to catch up with true end market demand?
Steve Litchfield: So Gary, I think the way I would describe it, so we definitely went through this market adjustment, Q4 was down, Q1 was down. So we've seen demand drop. I think that continue –it improves. I think we've got some kind of secular drivers, I mentioned a couple of bigger customers, we've definitely seen things pick up there. And we're expecting to see that in Q2. And so I'm optimistic about the second half of the year with regard to our HPA product line, specifically going into the industrial multi-market. Look, we're a small piece of the overall kind of industrial analog market, so I don't know that this necessarily reflects a huge shift in the market per se, but as far as MaxLinear's business, I think, we definitely do see an improving.
Gary Mobley: Okay. And as most people on the call know, your largest customer was recently acquired by CommScope. Have you had any plenary discussions with CommScope to determine the future, I guess roadmap of the products your design into it areas and then as well what the opportunities may be to penetrate some of CommScope's products that you're not designing to today?
Kishore Seendripu: Very, very good question because CommScope is much broader than just cable data for us. We've had communication with them as we had started investing in infrastructure business several years ago. Obviously, having Arris part of CommScope deepens that relationship, but these are very preliminary times and we are obviously communicating with them, but the larger scope of interaction is just being worked out right now. And with regard to the engagement within which - which other areas I would like to sort of refrain from comment right now, but obviously they are in wireless infrastructure source in such markets and we have had contacts before with them as well.
Gary Mobley: All right, thank you guys.
Operator: There are no further questions in the queue. I'd like to end the call back to management for closing comments.
Kishore Seendripu: Thank you, operator. We'll be participating in the Goldman Sachs Leveraged Finance Conference on May 7 in Rancho Palos Verdes, California, the JPMorgan Global Technology Media and Communication Conference on May 14 in Boston, the William Blair Growth Stock Conference on June 6 in Chicago and Stifel Cross Sector Insight Conference on June 10 in Boston. So we look forward to seeing many of you there. It's going to be a very busy investor calendar for us, but nevertheless, we look forward to seeing you. With that said, I want to thank all of you today and hope to see you soon. Bye.
Operator: Ladies and gentlemen this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.